Operator: Good day, and welcome to the FCPT Announces Earnings for Fourth Quarter 2019 Conference Call. [Operator Instructions]. Please note that this event is being recorded.I would now like to turn the conference over to Gerry Morgan. Please go ahead, sir.
Gerald Morgan: Thank you, Chuck. Joining me on the call today, is Bill Lenehan.During the course of this call, we will make forward-looking statements, which are based on beliefs and assumptions made by us and information currently available to us. Our actual results will be affected by known and unknown factors that are beyond our control or ability to predict.Our assumptions are not a guarantee of future performance, and some will prove to be incorrect. For a more detailed description of our potential risk, please refer to our SEC filings, which can be found in the Investor Relations section of our website at www.fcpt.com.All the information presented on the call, is current as of today, February 13, 2020. In addition, reconciliation to non-GAAP financial measures presented on this call, such as FFO and AFFO can be found in the company’s supplemental report available also on our website.And with that, I’ll turn the call over to Bill.
Bill Lenehan: Thank you, Gerry. Good morning everyone. And thank you for joining us to discuss our fourth quarter results and outlook as 2020 gets under way. Our portfolio performed as expected in the fourth quarter. We achieved an increase in AFFO to $0.36 per share and EBITDAR coverage remained strong at 4.7 times.I’d like to draw your attention to the unusually high volume of properties acquired at the end of the fourth quarter. We will see the full effect of these properties, impacting our results in the first quarter of 2020.In the fourth quarter, we acquired 50 properties and 21 separate closings, for a combined purchase price of $120.6 million with over $88 million of these closings in the last week of the quarter alone. For the year, we acquired 90 properties for a combined purchase price of $199 million.The fourth quarter acquisitions are a great example of the type of quality assets and granular tenant diversity we continue to add to the portfolio. To support that statement, I offer two statistics from the fourth quarter acquisitions. First, with respect to quality, over 80% of leases on these properties are with, or guaranteed by the corporate restaurant brand.Second, with respect to diversification, the 50 acquired properties represent 34 different brands, 17 of which were new to our portfolio. Over half of the properties acquired in the quarter, were the result of our outparcel strategy with closings from WPG, Brookfield, Seritage and PREIT. These transactions have taken time and perseverance, but have been worth it given the quality of the assets.We’ve now announced over $278 million in outparcel transactions. These properties are characterized by strong national brands, lower rents as many are ground leases, and are substantially leased to the brands corporate or franchisor entity.Our recent expansion to select adjacent retail, outside of restaurants has continued, but we remain highly selective in our approach. The properties share similar qualities as they are high quality restaurant locations, with comparable buildings or lot sizes and net lease structures.As of the year-end 2019, FCPT owned 10 non-restaurant properties, representing 1% of total rental revenue. If we include the announced outparcel pipeline, FCPT’s exposure to non-restaurant retail is 27 properties, representing 2.7% of total revenue as of the end of the year.Over the past four months, we’ve made meaningful progress on our pipeline and started 2020 with approximately $132 million of announced, but not yet closed outparcel transactions, which we expect will close in 2020 enrolling tranches as the properties become available to be conveyed.We look forward to leveraging our deal sourcing, and closing infrastructure, to grow both in the restaurant and non-restaurant net lease sectors. Our tenants overall continue to perform well. This holds true for some of our largest brand exposures, with Olive Garden, LongHorn and Chili’s, reporting same store sales growth in the most recent quarter of 1.5%, 6.7% and 2% respectively.We were particularly impressed with the growth of digital and to go orders at Olive Garden, which now make up 17% of brand sales after another strong quarter of north of 15% growth. While we would acknowledge some weakness in other restaurant brands, FCPT’s portfolio has by and large avoided them and the portfolio remains very, very healthy.Finally, a couple of comments on the team: First, we continue to be very pleased with the growth of our team, both the maturation of the existing members, and the contribution of new team members who have growing capabilities. We expect to continue to add to the team in 2020, but we’ve been fortunate enough to do it, step by step and with mind toward our team based culture.Second, a note of congratulations to Jim Brat, our General Counsel who was promoted last week to also serve as company’s Chief Transaction Officer. Jim’s deep real-estate and transaction experience has been critical to our acquisition strategy. Thank you, Jim.Now, Gerry will take you through our financial results.
Gerry Morgan: Thanks Bill. We generated $33.8 million of cash rental income in the fourth quarter after excluding non-cash, straight line rental adjustments, and on a run rate basis, the current annual cash base rent for leases in place as of December 31, 2019 is $139.4 million. This is a 6.5% increase in our run rate cash rental level versus the third quarter and highlights the growth from the fourth quarter acquisitions, many of which closed in December as Bill highlighted.Our weighted average 10-year annual cash rent escalator remains at approximately 1.5%. We reported a $0.02 or 5.9% increase in AFFO per share, quarter-over-quarter results.In the quarter and for the full year, we reported $2.4 million and $10.3 million respectively of cash, general and administrative expenses after excluding stock based compensation. For 2020, we are setting guidance of approximately $12 million for cash, general and administrative expenses. This increase is a reflection of incremental additions we are making to the investment, asset management and property management teams and supporting systems.Turning to the balance sheet in the fourth quarter. We fully settled the forward equity sales agreement we had entered into last April at an average offering price of $28.97 for gross proceeds of $46.5 million. We ended the quarter well capitalized to support our investment activity with our net debt-to-adjusted EBITDAR standing at 5.2 times, including a quarter ending balance of $52 million on our revolver and $98 million remaining on the $250 million facility.We remain committed to maintaining a conservative balance sheet and staying under debt leverage of 5.5 times to six times net debt to EBITDA.I’ll now turn it back over to Bill for closing remarks.
Bill Lenehan: Operator, can we open it up to Q&A?
Operator: Yes, sir. [Operator Instructions]. And our first question will come from Nate Crossett with Berenberg. Please go ahead. Mr. Crossett, are you there?
Nate Crossett: Yes, can you hear me?
Operator: Yes, you're live and you can ask your question.
Nate Crossett: Yes. Just wanted to get a sense of how much is left to acquire from Washington Prime, Brookfield, Seritage and PREIT. You have $132 million closing in 2020. What's left amongst those four?
Bill Lenehan: The $132 million is the year-end balance from those different outparcels transactions. We've closed a small number to date, but we expect all of those to close in 2020. So it's just shy of that $132 million.
Nate Crossett: Okay, and then should we expect similar types of agreements to be announced this year. How should we be thinking about these larger kinds of transactions?
Bill Lenehan: We're working on different transactions like that all the time.
Nate Crossett: Okay. What about just one on dispositions, I didn't see any dispositions in 2019. Can you just remind us kind of how you think about dispositions?
Bill Lenehan: We do it opportunistically. We get inbound inquiries all the time, every week, but we do it opportunistically, typically into the 1031 exchange market.
Nate Crossett: Okay, thanks.
Bill Lenehan: Thanks Nate.
Operator: And our next question will come from Sheila McGrath of Evercore ISI. Please go ahead.
Sheila McGrath: Yes, good morning. On the acquisitions in the quarter the in-place rent was $27 a square foot, well below your portfolio average of $30. Just wondering, is this driven by market location are these mostly ground leases or would you characterize the in-place rents well below market?
Bill Lenehan: Thanks Sheila. I would say it's just a mix in the quarter of more ground leases.
Sheila McGrath: Of the portfolio right now, do you disclose what percent of the portfolio is ground leases versus you know…
Bill Lenehan: We don't. I guess the color I would provide is 70% of our portfolio is Darden, that's well over five times coverage, so very modest rents given the performance and I would argue very akin to the kind of ratios you'd see on a ground lease.And then the outparcel transactions that we've been buying, we don't disclose an exact number, but I would say roughly 70% of them have been ground leases and it's just a very healthy credit story. It's just hard to deploy capital because the rents that you're applying to cap rate too are so low that the property purchase price is low. I think you're going to continue to see that as we announce more of these transactions.
Sheila McGrath: Okay, great. One last one, if you could just give us an update on the Krystal store locations, do you expect these leases will be affirmed?
Bill Lenehan: They've communicated to us multiple times that they will. We don't anticipate any change in the rent there. Those stores are very healthy with moderate rent to sales, low rent to sales.
Sheila McGrath: Okay, great. Thank you.
Bill Lenehan: Thanks, Sheila.
Operator: And our next question will come from Collin Mings with Raymond James. Please go ahead.
Collin Mings: Thanks. Good morning, Bill. Good morning, Gerry.
Bill Lenehan: Good morning, Collin.
Gerry Morgan: Good morning.
Collin Mings: Bill, to start I just want to discuss the dual and multi-tenant properties you've acquired recently. I'm just curious on your thoughts, is the market for some of these multi-tenant assets may be less efficient than the market for say single-tenant properties?
Bill Lenehan: I think the pricing tends to be a tad better. Sometimes you don't get net lease on the roof coverage, but that can be warranted or estimated. I would also say, we're typically buying newer properties there. So for example, the Potbelly / Verizon we just bought was built in ‘18 and I would also say there's some brand format that prefer multi-tenant. And so to get exposure to those brands, that's the direction you're going to go.But in almost every case this is you know two different brands attached to each other and it's not -- it's a far cry from a strip center or anything along those lines. I think the last thing I would say is they tend to be more generic boxes. So the ability to refill these are a lot easier than a bespoke stand-alone building.
Collin Mings: That's helpful. And maybe just along those lines, how do you think about coverages? I mean just as you think about underwriting the tenants and the properties, just maybe talk about rent coverages and I mean, is there a maybe a little bit higher threshold on a coverage -- from a coverage standpoint?
Bill Lenehan: I think the coverages are probably very similar. The one point I'd make Collin is there tends to be the use cases like banks and sell stores where the four-wall economics is not as clear as a restaurant.So for example, an Olive Garden that covers five times, you sort of understand what the economic proposition is. A bank branch, for example, it may have significant deposits, but how do you allocate the corporate overhead of JPMorgan to an individual brand store or to the subscription service revenue of Verizon to an individual Verizon store, but we tended to be very cautious and stuck with high quality national brands.
Collin Mings: Okay. And then maybe along these lines Bill, correct me if I'm wrong, but I don't believe anything with either a dual or multi-tenant thus far has been closed without a restaurant component. Would you be open to looking at some of these type of properties without a restaurant component?
Bill Lenehan: Just looking here, I think actually we have one that was a U.S. Cellular at Great Clips, but I think at the end of the day we would look at dual tenants without a restaurant. They very often have a restaurant anchoring them, because restaurants drive so much traffic, but we would look at it in any case.
Collin Mings: Okay. And then, two other ones from me here, just in terms of first, curious I mean you've had some success – maybe one deal that's been announced on OP unit front. I'm just curious, kind of as you think about your acquisition pipeline, as you think about discussions with potential sellers, how much is that even coming up as a potential source of deal flow?
Bill Lenehan: We talked about it regularly, but the stars sort of have to align for those OP unit deals to work. We have – and frankly we have such good access to normal way capital that it's sometimes easier just to raise normal way equity to pay for properties, but we're always looking and in dialog with people, but as you mentioned, it's rare that they are successful.
Collin Mings: Okay. And one last one from me and I'll turn it over. Just recognizing it didn't move much, but did notice that the coverage in that other brand’s non-Darden bucket actually increased slightly, and again a lot of properties are actually added to that bucket in the quarter. Was this uptick reflecting any change in terms of tenant health or is it just a kind of a function of the properties that got added to the pool?
Bill Lenehan: I'd say it's just the latter. I wouldn't have any grand takeaways from that.
Collin Mings: Fair enough! I'll turn it over.
Bill Lenehan: Thanks Collin.
Operator: And our next question will come from Anthony Paolone with JPMorgan. Please go ahead.
Anthony Paolone: Thanks. Bill, you are looking at areas outside of restaurants. Can you note any areas that either you're redlining at this point or particularly attracted to right now?
Bill Lenehan: I would say we're open minded, we've tended to not spend much time on big box net lease, and I would say we're attracted to a number of different sectors. The two I'll just throw out there would be auto service and medical retail; things like dialysis centers, clinics. We've tended to stay away from day care, we've tended to stay away from some of the call it untested new net lease use cases like Topgolf and trampoline parks, things along those lines, sticking to certain more tested paradigms.
Anthony Paolone: Okay. Can you talk about just the – you know as we start the year though at the level of deal flow that you're seeing in comparison to say like the last few quarters, just generally speaking?
Bill Lenehan: It's still very strong. I guess what I would say is that we had a flurry of activity last fall of signing contracts on large acquisitions. A significant portion of those closed at the end of the year. Our transaction team that Jim leads is very focused on closing the remainder of those and the acquisition team is very busy working on new acquisitions to make sure the pipeline stays robust, but we're quite busy.
Anthony Paolone: Got it. And then just last question, and your yields have been pretty consistent in the kind of mid-sixes, but when you think about the pipeline of things you're looking at and the variety of industries, you know what kind of starts to really move that needle up or down, the most that you're seeing out there, like you said lease duration like if you want shorter on term, yields would really move up or vice versa or is it just credit still. What are the hot buttons you're seeing?
Bill Lenehan: Honestly, I think it’s discipline and we see a lot of transactions that get priced away from us, and we're content to remain disciplined on our pricing and credit. But obviously, other factors like what kind of property sector it's in, what the lease duration, how good the credit is, where interest rate stand at the moment, how competitive – you know the competitive dynamic of the transaction, whether it's truly triple net, etcetera, etcetera. But the thing that we've been very pleased within these outparcels is we feel like we're getting a differentiated outcome with reasonable cap rates, very low rents and good credit, and actually the demographics of the outparcel transactions are far better than typical net lease.
Anthony Paolone: Okay, thanks a lot.
Bill Lenehan: Thanks.
Operator: And our next question will come from John Massocca with Ladenburg Thalmann. Please go ahead.
John Massocca: Good morning.
Bill Lenehan: Good morning.
Gerry Morgan: Good morning.
John Massocca: So, the occupancy ticked down slightly. It doesn't sound like that was Krystal, given they look at they are inclined to affirm leases, what drove that? I know it's kind of small, but any color there would be helpful?
Bill Lenehan: I think John it’s mostly timing. I think we expect those buildings to be leased back up here in the medium term.
John Massocca: So, was Krystal just temporarily being kind off seasonal?
Bill Lenehan: No. It was not Krystal's building.
John Massocca: Okay.
Bill Lenehan: Again, we think those buildings are going to have tenants in them paying rent very shortly.
John Massocca: Understood. And then, when I think about one of the more recent acquisitions, the RIE building, obviously that was part of one of these out lot deals, and would that be a type of asset you'd feel comfortable buying if it didn't kind of come from an out lot portfolio transaction and some of the dynamics that kind of come with that?
Bill Lenehan: Yes, the REI that you mentioned is a brand new build. It's a spectacular looking building and we're buying it at like 60% of the new build construction cost, and it's a great credit, so that was a terrific one. We happen to be part of an outparcel transaction, but that'll be a terrific asset to buy. Frankly, I wouldn't get anyone's hopes up that we'd be able to replicate that scale, but that one in particular we're very proud of.
John Massocca: It makes sense, but to do kind of these bigger box retail, you would need some of those similar dynamics, correct?
Bill Lenehan: Probably to be competitive on the pricing.
John Massocca: Okay, that's it from me. Thank you very much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bill Lenehan for any closing remarks. Please go ahead sir.
Bill Lenehan: Thanks everyone for joining us on the call today. This is also the first time we've had international callers joining us, so thanks to everyone for the interest. We were able to see many of you recently on our recent non-deal road show. Again, thanks for the time and dialog during those meetings, and with that we'll conclude the call. Thank you everyone!
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.